Operator: My name is Meg, and I will be your conference facilitator this afternoon. At this time, I would like to welcome everyone to Viasat's Third Quarter Fiscal Year 2025 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. I would now like to turn the call over to Ms. Lisa Curran, Vice President of Investor Relations. Ms. Curran, you may begin your conference.
Lisa Curran: Thanks, Meg. We will present certain non-GAAP financial measures on today's call. Information required by the SEC relating to these non-GAAP financial measures is available on our Q3 fiscal year 2025 shareholder letter on the Investor Relations section of our website. During the presentation, we will describe certain of the more significant factors that impacted year-over-year performance. We will also make forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we expect or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties and actual results might differ materially from any forward-looking statements that we make today. Information regarding these factors that may cause actual results to differ materially from these forward-looking statements is available in our SEC filings and annual report on Form 10-K. These forward-looking statements speak only as of the date they are made, and we do not assume any obligation to update any forward-looking statements. With that, I'll turn it over to Mark Dankberg, Chairman and CEO.
Mark Dankberg: Good afternoon, and thanks for joining us today. With me, along with Lisa, we have Gary Chase, our Chief Financial Officer; and Shawn Duffy, our Chief Accounting Officer. As always, we encourage reading the shareholder letter and referencing the slides we posted on our website earlier this afternoon for more details. Our third quarter fiscal year 2025 results are good and moderately better than expectations, and we remain on track for our full-year guidance. Gary will go into more details on those results, which are a blend of good growth in our strongest target market. Transitions to enhanced value propositions in maritime and expected declines in fixed broadband. I'll give a quick overview of some of the factors enabling our growth and progress on areas we expect can sustain and accelerate that growth. Gary will show that we are also making steady progress in achieving capital synergies and operating cost efficiencies, supporting earnings and driving cash conversion. We intend to sustain and enhance already strong positions in attractive and growing satellite services and technology markets. I'll spend a few minutes on this, and then Gary will cover the financial results and our growth outlook before we take questions. In Aviation, commercial in-flight connectivity aircraft in service grew about 13% year-over-year. Business jets grew about 18% and backlog grew even faster at 22% year-over-year. Aviation continues to be an attractive growth market for us. We have a compelling value proposition in in-flight connectivity and are expanding our customer base both in the U.S. and internationally. We've made very steady progress in integrating capacity from multiple satellite operator partners to expand our coverage and capacity. We are winning new airlines as well as new fleets with existing customers and going increasingly global with our full, fast and free service plans for those airlines choosing that business model, and we are meeting service level agreements even on the busiest routes and at major hub airports. Customers are responding. And for instance, as we just announced, we are very pleased to expand to full fleet with STARLUX in Asia Pacific. You'll also see in our online material report from a Hawaii Travel News website that recently described their experience with ViaSat WiFi on a United 737 MAX from Los Angeles to Hawaii. They got 130 megabits per second speeds on a ViaSat-3 served plane that's testing our newest WiFi technology free to passengers. We are anticipating even better performance with ViaSat-3 Flights 2 and 3. ViaSat-3 Flight 1 and its ability to dedicate satellite beams to each individual plane has served over 10,000 flights to date. On business aviation, we are upgrading legacy Inmarsat jets uncapped speeds and usage volume and continuing to grow planes in service. Our Defense and Advanced Technologies segment grew revenues almost 20% year-over-year in the third quarter, with each of its four business areas all increasing following exceptional new orders in the second quarter. Backlog is up year-over-year, as is our cumulative unawarded Delivery/Indefinite Quantity portfolio. We are pleased to see very positive customer feedback on our GEO and LEO multi-orbit enterprise maritime service called NexusWave. We are going step by step. After launching beta service last fall, we've grown our order pipeline, turned the leading edge of that into firm backlog and this quarter we are accelerating and turning backlog into ships in service and then ships in service into revenue. Based on our order pipeline, customer service plan selection and feedback from direct customers and global distribution partners, we are targeting a return to growth in our maritime business this coming fiscal year 2026. We've been aggressive and ambitious in forming key partnerships with multiple geosynchronous and non-geosynchronous satellite operators and are integrating multiple new satellites into a more highly integrated version of the Inmarsat and ViaSat satellite leads to deliver state-of-the-art services. We've made a ton of progress and techniques to expand geographic coverage and optimize resources to serve our mobility customers. That's contributed a portion of the CapEx savings this year while still expanding total platforms and service and increasing bandwidth per platform and reducing near-term schedule risk for the ViaSat-3 and we've also made steady progress on getting those ViaSat-3s into service. As we get closer to completion, schedule risk is diminishing. We anticipate Flight 2 to be completed and shipped to Cape Canaveral this summer and in-service late calendar year 2025 as expected. The Flight 3 manufacturing and test schedule outlook is unchanged from last quarter, but given our significantly increased coverage and capacity resources, we've chosen a less capital-intensive launch configuration that slightly extends the orbit raising time and will likely shift the in-service date into calendar 2026. We are also making good progress on our collaborative approach to transforming our L-band networks. We are very pleased that the European Space Agency has established an agreement with the Mobile Satellite Services Association and a new contract with Viasat intended to support and promote European participation in a standards-based, open architecture LEO constellation that can augment existing GEO and LEO direct-to-device satellite services. We see global engagement and participation in direct-to-device as a critical element in delivering 5G non-terrestrial networks services that augment national telecommunications architectures while supporting their sovereignty and security and ensuring regulatory compliance. We believe it's a differentiated strategy that promotes global interest in participating in the space economy, technology innovation and a safe and sustainable space environment. We and our partners, in the Mobile Satellite Services Association, are excited about European Space Agency's involvement. Shared, open architecture, standards-based multi-tenant space infrastructure bringing proven business models from terrestrial mobile networks will reduce cost and will help countries and companies compete effectively. From ViaSat-1 perspective, it helps reduce future capital outlays while enabling state-of-the-art networks and services. Lastly, we believe recent direct-to-device transactions help underscore the value of our mobile satellite services spectrum and the benefits of supporting terrestrial 3GPP standards for narrowband Internet of Things direct-to-device services on our existing fleet. Overall, we are making steady progress, building our mid- to long-term outlook, and we remain focused on growth, cash conversion and deleverage. We continue to believe we have a portfolio and strategic optionality in the means of sequences in which we address our challenges and opportunities, and we'll keep you updated as developments occur. With that, I'll hand it to Gary.
Gary Chase: Thanks, Mark, and good afternoon to everyone on the line. In the third quarter, we delivered solid results with revenue of $1.12 billion, adjusted EBITDA of $393 million and a 35% adjusted EBITDA margin. Importantly, we are beginning to make progress on our capital efficiency and cash generation initiatives. I am incredibly thankful for the hard work of the Viasat team that delivered these results. We positioned ourselves to close out the year strongly and with a quarter to go, we have a high degree of confidence in our fiscal 2025 guidance. My segment has grown in a few months that I've been here. Viasat continues to win in key markets, including defense and aviation and build great franchises with durable competitive moats, while demonstrating financial and strategic discipline. The path ahead has become clear. There are three key priorities that we are focused on: first, building our franchises, earnings power and customer lifetime value while investing with discipline in our future. By way of example, every 10 or so commercial aircraft we install is worth roughly $4 million to $5 million in discounted lifetime EBITDA contribution, which highlights the future value of the 1,570 aircraft in our aviation backlog. Similarly, 100 maritime vessels represent a lifetime adjusted EBITDA contribution of about $3 million. Our second priority, reducing our leverage, which we believe is pressuring our debt and equity. We are not ready to share end-state leverage targets yet, but it's clear our debt level needs to be substantially lower. So paying down debt is our top priority for capital allocation. And finally, generating free cash flow. We are examining a variety of mechanisms to accelerate deleveraging. However, generating free cash flow is the best means of sustainably achieving that objective. And the highest quality path of free cash flow is continued franchise development that I noted. We are focused on delivering that. We are now working collectively to get organized for execution in fiscal 2026 and to ensure that it will be a true and sustained turning point on all three of these fronts. A big driver of my excitement comes from the response our Viasat team has had in getting this work done and the progress we've made over the last few months and coming together to solve problems. I'll speak to CapEx prioritization, which is a great example of that in a few minutes. Here are some recent developments that excite me on the longer-term development of our franchise. As we focused on optimizing our capacity in the time before ViaSat-3 launches, we've uncovered a variety of opportunities to enhance our coverage, capacity and the performance we deliver to our customers. Mark mentioned this idea in his remarks. Two good intangible examples are first and reconfiguring our ground network to allow cross-roaming between the ViaSat/Inmarsat networks. Among other things, we should see a meaningful gain in the bandwidth we can offer our customers in business aviation at virtually no incremental cost to us and with no collateral impact on our existing customer franchises. Second, we have an evolved path to secure targeted capacity from third parties that will reinforce some important coverage areas and enable more growth with better outcomes for our customers. When ViaSat-3 Flights 2 and 3 enter commercial services, these purchases will offer continued and complementary support in some critical parts of our network. The changes reduced CapEx, but more importantly, enhance our ability to serve our broad and growing customer base for the long-term. Fiscal 2025 continues to see expansion of our multi-band, multi-orbit positions across the global defense market with opportunities and applications in the U.S. and globally. In the third quarter, government SATCOM won new awards on recompetes and captured a new line-fit position to deliver dual band Global Arrow terminals for the Embraer C-390 multi-mission airlifter. Viasat's multi-band, multi-orbit, multi-network terminals will be integrated into the aircraft, leveraging our decade-plus development of these hardware and networking capabilities that enable new networks to be easily integrated. Customers across our portfolio are increasingly interested in multi-orbit solutions and our growing capabilities in that area will serve us well in the future. There are too many great stories in our DAT business to cover on this call, but let me highlight one part, our encryption business. Our KG-142 products have continued to see record awards in fiscal 2025 with $135 million in the fiscal year-to-date through the third quarter. These awards are also the result of long-term investments beginning 10 years ago to develop and certify this current family of crypto products. The revenues are further expanding our installed base of products as we prepare to participate and compete for the next-generation encryption market, where we'll leverage our current capabilities, along with new technologies to provide high assurance encryption from the tactical edge and cloud connectivity while looking to expand in the space. Gearing in on the near-term now, we faced continued challenges that create revenue pressure in our U.S. fixed broadband business as we focus capacity towards meeting the growing demand from our higher-value commercial aviation business. Maritime revenue was also down $2 million sequentially due to incremental ARPU pressure and continued L-band migration ahead of our wider rollout of NexusWave. We expect the rollout of NexusWave and the entry of ViaSat-3 Flight 2 into service will help turn these trends around beginning late in fiscal 2026. Meanwhile, we are building earnings power in our other franchises. In aviation, our wins are translating into more aircraft in service and new awards are sufficient to leave us with a growing backlog of future installs. Aviation service revenue increased approximately 12% year-over-year and we ended the quarter with 3,950 aircraft in service, up about 130 sequentially and a contracted backlog of approximately 1,570 aircraft, up about 60 sequentially. While we are confident in the growth outlook and the trajectory for Aviation, our near-term results continue to be impacted by a slow recovery of OEM deliveries, as a result, we believe we will be a little bit below our prior target of 4,200 aircraft in service by the end of the fiscal year. Further diversifying our earnings power into non-transmission, our sponsorship monetization, while nascent, is great for our customers and is beginning to generate high-value revenue with exciting future potential. Fiscal 2026 is an important year for this business as we prepare to scale and are better able to size future market opportunities. Our Defense and Advanced Technologies segment is a standout again this quarter with all businesses growing well. Importantly, the leading indicators continue to signal strong growth in the year ahead. Secular trends are favorable, product cycles and white space product launches are supportive and awards are up 49%, backlog up 26% and sole-source IDQ is up 13% year-over-year. On the capital side, as we approach our long-term planning process in December, we ran a prioritization exercise across the company to drive real focus on the most essential work for fiscal 2026 and a few things that emerge from that process led to opportunities to better focus even in the remainder of this fiscal year, which helped to reduce some spend. Also, as noted last quarter, we've been pushing hard to refine timing of our capital spend, advancing customer critical items and deferring anything not critical to defer both capital spend and operating expense impacts. As we undertook this process, we found several opportunities to purposely move spend out, reduce some spend altogether and/or establish a more refined view of when we might hit key milestones on the space and ground side. The combined impact of these efforts was a large reduction in satellite spend and a reduction of projected growth in our run rate spend on things like software and other CapEx for a total of a $200 million reduction from the low end of prior guidance. At the same time, we were able to hold future spend flat, so our free cash flow will benefit from all of that reduction. Now I'll cover two topics in more detail, financial performance during the third quarter and our outlook for the fourth quarter and fiscal 2026. Let's begin with the financial results. All of my statements in this section will reference the third quarter of fiscal 2025 and the prior year period, the third quarter of fiscal 2024. Awards were $1.08 billion, led by our Defense and Advanced Technologies segment and Aviation Connectivity. Backlog was $3.5 billion, down $181 million. Backlog declined due to the removal of the Energy Services System Integration backlog with the sale of that business, along with declining subscribers in our U.S. fixed broadband business and fewer long-term contracts in that business. Revenue was $1.12 billion, essentially flat compared to the prior year quarter, reflecting declines in fixed broadband and product revenue within Communication Services, offset by strong growth in Aviation and Information Security, Space and Mission systems and tactical networking in our Defense and Advanced Technologies segment. Net loss of $158 million increased from the net loss of $124 million a year ago principally due to the $97 million non-cash loss on extinguishment of the Inmarsat 2026 senior secured notes as we refinanced the debt to extend maturity. Adjusted EBITDA was $393 million, an increase of 3%, primarily driven by growth in our DAT segment, reflecting $15 million of higher than anticipated tactical data radio licensing benefits, partially offset by fixed broadband and maritime within Communication Services. Operating cash flow was $219 million, up more than 60% despite absorbing approximately $30 million related to facility rationalization outflows. The improvement was primarily driven by decreased working capital and lower cash taxes. CapEx was $253 million, down 40% year-over-year from $421 million. We also collected an additional $42.5 million of satellite insurance proceeds and have now cumulatively received about 97% of an anticipated $770 million. Please note, collection of these proceeds has no impact on our free cash flow calculation. Consistent with our ongoing portfolio review, we completed the sale of the Energy Services System Integration business, which was included in fixed services and other within the Communication Services segment. The business generated approximately $50 million in revenue annually, but had minimal strategic synergies with our core businesses. Finally, net leverage was slightly lower year-over-year and slightly higher sequentially at about 3.7x trailing 12 months adjusted EBITDA. The sequential increase is due to the commencement of GX-10A/B finance leases, which increased our debt by about $150 million. Now let's turn to some segment highlights. And again, in this section, all references will be to the third quarter of fiscal 2025 compared to the third quarter of fiscal 2024. In Communication Services, revenue was $820 million, down 6%, reflecting the anticipated decline in our U.S. fixed broadband services and products, partially offset by strong growth in aviation and government SATCOM. Aviation grew 12%, led by a 13% increase in commercial aircraft in service. Our government SATCOM business grew revenue 4% as strong demand for connectivity remained a top budget priority. Maritime revenue declined 8% as legacy L-band offerings continued to decline, and we see incremental broadband ARPU pressure. Fixed services and other revenue was down 21% as U.S. fixed broadband subscribers continue to decline as expected. Those revenue impacts drove EBITDA to $330 million, down just 1% year-over-year. Turning to Defense and Advanced Technologies, or DAT, performance. Awards of $327 million increased approximately 49% versus $220 million. Revenue was $303 million, up 20% compared to $254 million. We saw broad strength across the segment, including information security, space and mission systems and tactical networking. Info sec and cyber defense, space and mission systems product revenues were up 24% and 19%, respectively, driven by strong product sales. Similar to the last two quarters, the tactical networking business line benefited by about $20 million in revenue and $15 million in adjusted EBITDA from the activation of certain product upgrades along with new radio shipments. Once activated, we recognized IP licensing revenue on these products that have been sold in prior periods. Activations of new capabilities from prior period shipments are difficult to forecast, and we project future new shipment license revenues at lower levels than were recognized year-to-date. Defense and Advanced Technologies adjusted EBITDA was $64 million, up 27% compared to $50 million, reflecting the strong revenue growth across the segment. Overall, we continue to make good progress against our fiscal 2025 plan, driving solid growth in cash from operations while CapEx continues to come in lower than expected. As a result, Q3 and year-to-date cash burn has been lower than previously anticipated. Now let me turn to our outlook. Challenges continue, but the Viasat team is rising to meet those challenges. We continue to expect fiscal 2025 revenue to be flat to slightly up year-over-year, with adjusted EBITDA growth in the mid-single digits. Given results thus far, our confidence in achieving our fiscal 2025 EBITDA guidance has clearly increased, and we've provided additional segment-level detail in the Outlook section of our shareholder letter and slides. We've talked a lot about CapEx today. With some of all the efforts I've mentioned, leaves us with an expectation that fiscal 2025 CapEx will be $200 million lower than the low end of our last fiscal 2025 guidance at approximately $1.1 billion. We recently completed our multiyear strategic plan and are now mobilizing to refine our fiscal 2026 outlook and resource the initiative that will support it. In addition to the challenges we face as we exit fiscal 2025, we will have a remaining $250 million of CapEx and about $80 million of recurring OpEx related to the build of our ViaSat-3 space and ground assets that won't generate material incremental revenue until late in the year. For fiscal 2026, we expect year-over-year revenue growth and modest adjusted EBITDA growth. Despite the $200 million reduction of fiscal 2025 CapEx, expected 2026 CapEx is essentially flat to prior implied guidance at about $1.3 billion. With the timing shifts we now anticipate around CapEx, we believe free cash flow inflection will occur in the second half of our fiscal year as we get beyond the elevated CapEx related to the development of our ViaSat-3 space and ground networks. However, for the sake of clarity, with adjusted EBITDA essentially unchanged and CapEx $200 million lower than the midpoint of our prior guidance, our outlook for cash generation across fiscal 2025 and 2026 combined has improved by about $200 million. We are making progress, but we know we have a lot more work to do to further improve cash generation. In closing, the quarter's operational performance was good. We are capturing our share of large and growing markets and remain focused on improving operational productivity and capital efficiency. Fiscal 2026 is a very important year for us, one where NexusWave and the launch of our ViaSat-3 satellites will help turn the trends in maritime and fixed broadband around. While at the same time, we continue to build our earnings power in aviation, government SATCOM and DAT, leveraging the backlogs our teams continue to build. The Viasat team is up to these challenges, and I'm honored to be part of this as we work tirelessly to deliver improving outcomes for our people, our customers and for you, our owners. With that, I'd like to hand the call back over to Mark.
Mark Dankberg: Thanks, Gary. I continue to feel very good about Viasat's runway of business growth opportunities. We remain a leading player in the satellite communications industry with a very thorough understanding of the competitive environment and believe our technology and business model approach to global partnership and cooperation and space is a very appealing option for a growing number of nations and companies that want to sustain and contribute to a healthy space ecosystem. We are intent on achieving that while steadily demonstrating financial and strategic discipline and a deep commitment to growing shareholder value. Meg, let's open up to questions now.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Ric Prentiss with Raymond James. Your line is open.
Ric Prentiss: Thanks. Good afternoon, everybody.
Mark Dankberg: Hey, Ric.
Ric Prentiss: A couple of questions for you all. First, I appreciate the update on the Flight 2, Flight 3, good to get a launch date on Flight 2. And a slight slip out in Flight 3, but it looks like it's – will save some money there. What I'd like to get at is where do you think Flight 2 and Flight 3 are going to go? What areas are they going to cover with the whole anomaly with Flight 1? How should we think about what Flight 1, Flight 2, Flight 3, what are they going to cover? And then now that Flight 3 is kind of more early calendar 2026, has there been any impact on in-flight connectivity contracts as you kind of compete out there?
Mark Dankberg: Okay. So first of all, in terms of the locations of the satellites, all the satellites were designed so that each of the three can be operated in each part of the world. So our real approach to how we locate them and think of it as we have flexibility in where we put them and if we keep them there and move them, is really just responding to customer demand. And the two big areas where we need more – we have a lot of demand and we'll get the most value out of the satellites are in the Americas and in Asia Pacific. So those are the plans for the locations of two and three, with Flight 2 being planned for the Americas and Flight 3 for Asia Pacific. And then in terms of the timing of the in-service, one of the things that we have been doing a lot for the last 18 months is working on some of the technical approaches that we described for optimizing the use of the capacity. One of the things we described is we do that well, we actually can increase the effective capacity of the existing satellites pretty substantially on the order of 20%, 30% or more. And so we've done that. That's been working measurably, one of the things we've emphasized over and over again is measurable results and measurable service statistics for our customers. So we're getting the benefits of that. We've also incorporated a substantial amount of third-party capacity into the networks. And the upshot of all that is we and our customers understand that we've kind of derisked the launch dates of two and three with the bandwidth supplies that we have and our ability to apply it. And I think our customers are seeing that, so they're comfortable with it. And really, the upshot is what we ended up doing is we opted for – we're looking at a few different launch configurations for Flight 3, which was a lower cost one. The delay to that is probably a couple of months and it's a little bit raising time. And it will save a lot of money compared to the alternative, and we're putting that money to use both for our customers and for our shareholders. And I'm just going to say, I think that the confidence that we're seeing from our customers and the performance, it's kind of indicated by the STARLUX contract that we just announced because they're an Asia Pacific airline. And they were able to test – they were able to get a preview of it for some of their flights that go into ViaSat-3 Flight 1 territory, they were really pleased with that. And the upshot is, we've got a full fleet order from them.
Gary Chase: And Ric, as you probably inferred from Mark's comments, no impact on the customer side or on the outlook.
Ric Prentiss: Right, right. And Gary, one for you, kind of the early signaling on fiscal 2026, revenue growth, but then calling out now modest adjusted EBITDA growth in fiscal 2026, can we then assume that revenue grows faster than EBITDA? And what would cause not as much money flowing through the conversion from revenue to EBITDA?
Gary Chase: I wouldn't read that much into it, Ric. We've just gotten closer to it and are able to give a bit more color as to what the expectations are. We're still looking and working on 2026, and we'll have more to say about it in a few months when we wrap the fiscal year.
Ric Prentiss: Okay. The last one for me. Obviously, you talked a lot about direct-to-device spectrum and the MSS. You had the recent transaction with Ligado and ASTS. Can you help us make sure everybody understands what's happening there, how we should unpack it, what the benefit to you all could be? And then a philosophical one to throw at you, Mark, and I've been around since the birth of wireless and the birth of the tower industry. And we get the question I got it again today, you can always kind of figure out the value of cellular spectrum versus PCS spectrum because, okay, you need more cell sites and you're going to need more CapEx or you need more OpEx. That would allow you to kind of figure out cellular spectrum was worth more than PCS spectrum for terrestrial network. But for an NTN, a non-terrestrial network, how should we think about the spectrum assets you have, how it compares to LEOs, how it compares to GEOs? And just people are wanting that kind of philosophical understanding, given what's happening in the competitive space. But the first part of that was just kind of – help us unpack the Ligado, ASTS one a little bit.
Mark Dankberg: Okay. So I think the main point on the Ligado transaction is that that they intend to perform on the contract that they had with Inmarsat, what was called the co-op agreement and that AST would assume that obligation. So from – that's basically what's going on. What that would mean is essentially the co-op agreement transaction eventually would conclude. And I think that's how to interpret what's going on. I think the clear message is that AST values this spectrum at the value of the co-op agreement. So that's – I think that's what you take away. When you look at the – I think the way we think about it is really the dividing – the primary dividing line is whether you do non-terrestrial networks using terrestrial spectrum or licensed MSS spectrum, with the main difference there being that if you use terrestrial spectrum either you're limited to locations that have no terrestrial coverage, which is, I would say, a pretty constraining view of the value of these non-terrestrial networks or you can augment the terrestrial spectrum with licensed satellite spectrum. And I think that, that's the way that people are starting to look at it. And so what – and then ultimately, we think that if the direct-to-device market plays out, and we're optimistic. But remember, we have a pretty substantial MSS business already. That's our real focus is making that MSS business better. The main thing that the non-terrestrial networks or the D2D market does because it standardizes the network, which we think is a good thing at a lower cost. It enables open architecture, that lowers cost. It enables MSS operators to share infrastructure, that lowers cost for everybody. And the other big thing is that people are looking at and regulators are looking to approve much higher power levels on the ground, which means we can get a lot higher speeds, more bandwidth at lower cost. And remember the MSS spectrum is licensed based on a public interest basis. We definitely have a really strong public interest basis with our maritime and aeronautical safety services. There's a lot of demand for that for improvements. So when we think about it, we think that the transaction is really illustrating the value of licensed MSS spectrum. And in our position, what we want, we're a relatively unique global player, but we're also looking to cooperate with other licensed MSS spectrum holders in a way that reduces cost for everybody and grows the market.
Ric Prentiss: That helps.
Operator: And our next question comes from the line of Edison Yu with Deutsche Bank. Your line is open.
Edison Yu: Great. Thank you for taking our questions. I wanted to ask about the DAT side, obviously, back in the summer, there was quite a bit of, I think, excitement around potentially selling some assets. Do we have any updates on the progress of that? Have there been any discussions that have gotten any deeper?
Mark Dankberg: Well, we're not going to comment on any individual transactions. I think we have – we are continuing to make progress on both creating alternatives and options and evaluating those. And we've done a small transaction we expect to do. We expect that – let's say, the point of going through this is really to deal with what the point that Gary mentioned in his prepared remarks, which is we want to reduce our debt, right? So that's what we have very specific financial objectives. We're certainly focused on preserving our competitive position. And so we're looking at the right combination of maneuvers to help us do both of those two things, I'd say. And the point of that is it should – we're doing things aimed at unlocking value in our equity. That's what the focus is. So that's – we'll keep working until we do it. But we're not going to comment on any particular transaction until it's closer to fruition.
Edison Yu: Understood. And I wanted to also come back on the L-band question before. Do you have sort of a framework in how you decide, I guess, the best return on the spectrum? You alluded to the AST with Ligado. We also have something where you can deploy on some sort of D2D network. Is there some kind of framework you're thinking, hey, if someone’s willing to pay us this much for the L-band, we would rather just kind of sell it versus trying to actually deploy it in some way?
Mark Dankberg: Yes, of course. I mean I think that you're on exactly the right track. We are – we have business models and think of it as a let's say, put it in a few different buckets. We have existing fairly significant existing legacy business in L-band which is not only profitable on its own right, but the value of that adding L-band is a part of a bundle to air aviation customers, maritime customers is also important. So that clearly, given the higher power levels that we're anticipating for the next generation of satellites, we can improve those value propositions substantially, and we think that will grow. That's what's really going to trigger growth in the L-band mobile satellite services market. And think of the distinction between the mobile satellite services market and the D2D market isn’t really the service that you get like the speed or the airtime pricing, it's the device that you use. The D2D market is essentially, you're delivering those services into what's a terrestrially centric device in the MSS market. You're just delivering those services into a device that was intended to connect to a satellite, which actually makes those devices in general, a little less convenient but a lot more cost effective predicating those same services. So what we're doing is we're modeling out all of those different monetization options, looking at the timeframes and then we'll make a prudent decision on some monetizing versus thinking of it is developing. And also what people should think of that in different buckets where we don't have to do all-or-nothing decision. We can monetize – again, remember, because there is a public interest benefit. We're not looking at a purely transactional basis. So we have to – but we do have some maneuvering room in how we deal with the services that we offer in different geographic markets at different times. And so that's just the other dimension in which we're doing the analysis.
Edison Yu: Understood. If I could sneak in a quick housekeeping one, did you disclose the proceeds from the energy divest? I know you said it’s $50 million, but was there a proceed amount given?
Shawn Duffy: Yes. We haven't. But you'll see in our cash flow that we get – you'll see a little bit of other investing activities in – is in small tens of millions.
Edison Yu: Okay. Thank you so much.
Gary Chase: Not specifically disclosed.
Mark Dankberg: We didn't break it out, the number. But you could find it.
Operator: Next question from Sebastiano Petti with JPMorgan. Your line is open.
Nikhil Aluru: Hi. This is Nik on for Sebastiano. Thanks for taking the question. Maybe if I could follow up once on the DAT assets mark, are there any businesses within that segment that you think are synergistic to keep with the satellite portfolio for whatever reason, maybe go-to-market or anything like that? And then second, just any update on the discussions with Telesat that you brought up last quarter? And generally, any kind of use cases or end markets where you're thinking about that incremental LEO capacity? Thanks.
Mark Dankberg: Okay. Yes. On the DAT assets, pretty much everything that we do from a technology perspective, was at one time or will be in the future, it was intended to be synergistic with our satellite businesses. Over time, sometimes, some of those synergies ebb and flow. But you can see it's fairly clear things that we do that involve technology development on satellite terminals, phased array technology, process, space cross links, those kinds of things often tend to be pretty synergistic, things that we do that are a little more removed like tactical data networks, tactical data links that we sold tend to be less. And so that would be some of the ingredients that would go into any decision that we do in tactical data networks. That was our Link 16 sale that we did. It's not that there were no synergies. It's just that relative to the value of the business and the ongoing investment profile compared to what others might do, we felt that we can – we could derive value. We could sell it for a price that was equivalent to the net present value or greater of the future cash flows and then use that capital to reduce debt. And so we may make that decision for other assets as well. But that's the – I'm just going to tell you kind of the thought process we're using, but not identify any particular businesses or transactions. On the Telesat front, right now, we're still in advanced negotiations with them. I think that they are converging. And we have a good – I think we have a good foundation for a win-win business. We've initially focused on the aviation market. And I think that both we and Telesat have disclosed that. I think we have a meeting of the minds there. And I think it will be – we'll have an agreement with them well in advance of when the satellites in service, and we're already working together on being sure that the terminals we're deploying now are capable of working on the Lightspeed network, which is kind of a big attraction for a lot of our customers as well.
Nikhil Aluru: Right. Thanks for the color.
Mark Dankberg: Thank you.
Operator: Next question from Colin Canfield with Cantor. Your line is open.
Colin Canfield: Hey, thanks for the question. Unpacking the $200 million savings a bit more, it sounds like most of the savings are coming from the launch side. And just doing some rough math on the price delta, it seems like maybe rebooking – like the orbit-raising language, maybe a little bit of rebooking from like an Atlas or a Vulcan to a Falcon 9. So maybe if you could talk about which of your satellites have launches booked in backlog and where you could find potential savings similar to what we saw in the guidance move today? Thanks.
Mark Dankberg: So it doesn't account for the majority of the capital. It's a relatively small amount. The main thing we did was we were deciding among different configurations of the same launch vehicle. And the configuration we chose has a orbit raising time that is good enough for a fairly significant savings, but it's low tens of millions of dollars kind of in that range. It's a piece of the CapEx savings, but not...
Gary Chase: Yes, Ric, I mean, there's been a lot that has gone into driving that driving that $200 million out the – sorry, Colin. Apologies for that. The longer orbit raise was definitely a large single piece of it, but there were a lot of other factors. We talked in the prepared remarks about synergies between Viasat and Inmarsat. We leveraged some of that to drive savings out. And there's also just been a much broader effort here around capital efficiency and productivity. Last time we were on a call, I mentioned challenging timing to make sure that we really scrubbed and understood, didn't spend any money before we needed to, didn't bring on any operating expenses before we really needed to meet the schedules and the customer expectations that we had. And we also went and refocused after our strategic plan on the things that we really need to deliver that are customer critical for fiscal 2026 and – while at the same time, making sure that we fund our future. But we forced ourselves to stay within a budget. And we feel really good about where we sit on the other side of that, that we're in a place where we're balancing what we need to do to drive the earnings power that I talked about in the near term and that we've got real capital efficiency in what we're investing in. So to me, that just comes back to what we're really trying to drive more EBITDA, more free cash flow. And again, it just kind of goes back to those pillars. Everybody here's sick of hearing me say it, get our earnings power up, get our debt down, drive sustained cash flow.
Mark Dankberg: And I did – just to be clear on the launch vehicles, we signed our launch vehicle contracts quite a while ago, haven't changed those. So we – it was just the configuration of a launch vehicle that we're evaluating.
Colin Canfield: Is it from a Falcon heavy to Falcon 9 maybe? Or is it within the [ferry] is what you're saying?
Mark Dankberg: It was just a different – they have different configurations of each of these.
Colin Canfield: No worries. Never mind. Yes. Got it. Okay. No worries. And then maybe circling in on the Space Force Award for PLEO, talking a little bit about how you expect to ramp on to that and maybe a little bit about the pipe of potential contracts beyond that. The PLEO seems like it's kind of off the shelf, but a lot of the capabilities that Viasat has seems like they align well for encryption and the like. So maybe talking a little bit about the pipe between expanding on a PLEO contract, which obviously has a really high ceiling, and doing more in terms of encrypted comms and the like for the DoD community.
Mark Dankberg: Yes. Generally, a lot of the end users of that contracting vehicle are looking for applications that apply to them. So from our perspective, right now, mostly what we're doing is packaging LEO services for those applications. And generally, we'd be augmenting them with some other functionality or technology needed to deliver the missions for those customers. So we work with multiple different NGSO and LEO providers. So that gives us some opportunity. We also are looking at LEOs to augment our own GEO satellite systems in the longer term. And I think you'll see us, over time, participate using our own assets as well as with partner assets.
Colin Canfield: Got it. And then last question for me, but maybe talking a little bit about how Inmarsat is participating in alternative P&T. And if you have suppliers or customers or people are key partners across the uncrewed space or other military assets that you consider a good opportunity?
Mark Dankberg: I'm sorry, for P&T, is that was...
Colin Canfield: The context is focusing on like the growth avenue for alternative P&T within the Inmarsat portfolio and kind of your ability to participate in NATO or DoD or other pipes?
Mark Dankberg: Yes. We have done some of that, often for international customers that are looking for ways to have some form of maybe regional as opposed to global P&T services or to augment P&T services or to have more confidence in the accuracy of the P&T services they get from third parties. So some of those have involved either hosted payloads or specific applications of pieces of our payload. And it is an interesting area, especially – I mean, right now, it's no secret that there's a lot jamming of navigation systems. And so things that can be used to augment those either, in some cases, even just doing that regionally, is sufficiently valuable to great business opportunities. So those are more of the kinds of things that we're going after as opposed to building a complete alternative global stand-alone P&T system.
Colin Canfield: Got it. Okay. Thank you. Appreciate it.
Mark Dankberg: Thanks, Colin.
Operator: Our next question comes from the line of Simon Flannery with Morgan Stanley. Your line is open.
Simon Flannery: Thank you very much. Good evening. Gary, just coming back to the CapEx, good to see the progress there. Looking at the FY2026 number, can you give us a sense of how much of that is really related to some of the launches we're seeing? And what we might expect is sort of the maintenance CapEx number for the longer-term plan? Is that more in the sort of $1 billion range? Any color around the out years would be great. And then Mark, you did a management reorganization a couple of weeks back. Perhaps you could just talk about the goals of that and what the – what we should be expecting from the new roles that the team's taken over?
Gary Chase: So I'll start. Simon, your first question, I believe, was around what related to launches is in CapEx guide for 2026. Everything around ViaSat-3 is contained in there. In my prepared remarks, I mentioned we're spending on capital side, about $250 million, also mentioned $80 million on the operating side as we bring the satellites into service. That $250 million is – that is the spend attached to ViaSat-3. In terms of maintenance CapEx – yes. In terms of maintenance CapEx, we've used in the past the 1/3s, 2/3s. We were talking about this previously with the total number coming down as it has, it's probably in the 1/3 of the numbers that we were talking about previously. So you can continue to use that benchmark. The 1/3, you just got to watch. With the baseline changing as much as it has, you just want to make sure you adjust for that.
Simon Flannery: Okay. But should we expect a drop then in the out years beyond 2026?
Gary Chase: We do expect that. I mean we're not going to get into longer-term guidance here. We'll do same. We're going to continue optimizing the way we have the same kind of work that went into – I wouldn't even call it cutting the capital budget. This is really about making sure that we were spending on the right things. One of the results was that it ended up being reduced. But we're going to do that ongoing as we move through the year. And at the right time, we'll give you a lot more flavor about how that should trend over the next few years.
Simon Flannery: Great. Then on the management?
Mark Dankberg: Yes. Just to be clear, we're working through a big bulge in CapEx spending with the deployment of ViaSat-3s. And so – and we have – one of the things that will enable us to spend less in the future are these partnerships that we're forming, as well as packaging some of those innovations into smaller bite capital sizes. That's – those are – so we do definitely have an objective of driving down our CapEx. The other thing I did want to say – I understand your retiring, Simon. So I did want to say, first of all, that this is last time I talked to you in your official duties, we really appreciated your support and your good leverage along the way. So thanks for that.
Simon Flannery: Thanks, Mark.
Mark Dankberg: And then just on the management, what we talk about publicly is we reached an amicable settlement – an amicable parting with Guru. He took on some really hard stuff, including a lot of logistics of the integration with Inmarsat. And that's largely done, and we just are on the theme of simplifying and reducing costs. It just made sense to have a lot of the people that were reporting to him transition to me once we had that new organization set up.
Simon Flannery: Great. Thank you.
Operator: Next question comes from the line of Ryan Koontz with Needham & Company. Your line is open.
Unidentified Analyst: Hi. This is Matt on for Ryan. Thanks for the question. On NexusWave, you mentioned the target for maritime to return to growth in fiscal 2026. Could you expand on the demand you're currently seeing for that service? And how you're expecting that to ramp over the next couple of quarters?
Mark Dankberg: Yes. I think what we alluded to last quarter was a really positive reception in the maritime market for the targets that we were aiming for, which is definitely heavy enterprise and especially those carriers that were large enough for direct – for us to approach direct. But the reception has been really good. I think we talked about a pipeline of over 4,000 vessels last quarter. That's actually continued to grow. I mean there's some – there's both in terms of some things leaving, but much more coming into the pipeline than leaving. So that part is really encouraging. That's the thing we've been most focused on, is making sure that we had a value proposition that was going to get the interest of the target market. So that pipeline is turned into orders in the low hundreds right now. Our target is to get in the low hundreds installed this quarter. That would be the next thing. I think our objective would be to grow that fairly substantially in the next year, but still probably in the low thousands, we're not going to be able to turn that whole pipeline in. But we think we're going to grow it fairly significantly during the course of FY2026. You'll see – I think what – if you look at our results, what you should see first is growth is stopping the decline in net vessels, growing net vessels and then revenue coming along with that afterwards and then eventually will hit the EBITDA growth line as well. That's the sequence. And we think that will play out during the course of FY2026.
Unidentified Analyst: Got it. Thank you. I'll leave it there.
Operator: And our last question comes from the line of Mike Crawford with B. Riley Securities. Your line is open.
Michael Crawford: Thank you. I'd like to go back to Ligado to make sure we understand this correctly. So I believe your unsecured claim in the bankruptcy proceeding is about $550 million plus, there's this co-op agreement where there's a contract for $80 million a year lease payment that still has some 75 years running. And that the Ligado has an ability to either accept or reject the contract here. And if they accept it, then they have to pay that to you. But if they reject it, then they wouldn't have access to your 12 megahertz of spectrum that's interleaved among some of the spectrum holdings that Ligado itself has, making it perhaps difficult to use as opposed to being aggregated in a contiguous block. Is that – do we have that right?
Mark Dankberg: So what we would do is refer everybody – people want to do it – all that – all the information that you're citing, I think, is available in the public filings associated with the bankruptcy case. And I think it sounds like you've been reading those. We're not really going to comment on them, but I think the things we recommend to investors is to refer to that because we can't really comment on an active litigation.
Michael Crawford: Maybe if I just unpack the last part of that, Mark, where the – can you describe your spectrum and how it interacts with the Ligado spectrum and whether that L-band spectrum would have same utility or without being aggregated contiguously?
Mark Dankberg: Okay. So one, Mike, I think you're very astute observer. So I think that some of the things that were of an issue had to do with the coordination of the spectrum. All that stuff basically is thrown – is now in the hands of the courts, and it's really difficult for us to comment on them. But I think that the types of issues that you are raising are valid issues to be resolved in the litigation. It just makes it really hard for us to comment on them outside of the course filings.
Michael Crawford: Okay. Thank you, Mark. Thank you.
Mark Dankberg: Thanks, Mike.
Operator: That concludes the question-and-answer session. I would like to turn the call back over to Mark Dankberg for closing remarks.
Mark Dankberg: That concludes our Q&A session and our prepared remarks. Thanks a lot, everybody, for participating. We look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.